Operator: Good afternoon, everyone, and thank you for participating in ImageWare Systems' Q2 Financial Results and Corporate Update Call to highlight the company's progress since its last quarterly update on May 9, 2019.  Joining us today are ImageWare Systems' Chairman and CEO, Mr. Jim Miller; and the company's CFO, Mr. Wayne Wetherell. Also joining our call today will be Mr. David Harding, Chief Technical Officer. Following those remarks, we'll open the call for your questions. Any statements made on this call that are not historical facts are forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995. Words such as anticipate, believe, estimate, expect, forecast, intend, may plan, project, predict, if, should and will and similar expressions as they relate to ImageWare Systems, Incorporated are intended to identify such forward-looking statements. ImageWare may from time to time update these publicly announced projections but is not obligated to do so. Any projections of future results of operations should not be construed in any manner as a guarantee that such results will in fact occur. These projections are subject to change and could differ materially from final reported results. For a discussion of such risks and uncertainties, please see Risk Factors in ImageWare's annual report on Form 10-K for the fiscal year ended December 31, 2018, its quarterly report on Form 10-Q for the quarter ended June 30, 2019, and other reports filed with the Securities and Exchange Commission under the Securities 3 Exchange Act of 1934 as amended. Readers are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date on which they are made. I'd like to remind everyone that this call will be available for replay through August 21, 2019, starting at 7:30 PM Eastern Time tonight. A webcast replay will also be available for 90 days on the company's website at www.iwsinc.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of ImageWare Systems, Inc. is strictly prohibited. Now I'd like to turn the call over to Mr. Wayne Wetherell, CFO of ImageWare Systems. Please go ahead, sir.
Wayne Wetherell: Thank you, operator, and welcome to those of you joining our call today. Our financial results are available in the recently published news release and on Form 10-Q. For context on today's call, I'll provide a brief summary of those results. Revenue for the quarter ended June 30, 2019, totaled $812,000, down from $1.9 million for the same quarter of 2018. The second quarter revenue for both years primarily reflected our legacy business. The revenue for the second quarter of 2018 included approximately $1.1 million in onetime non-recurring orders from government agencies.  Gross profit for the second quarter totaled $672,000, compared with $1.6 million for the same quarter 2018. Gross margins for the quarter were 83% compared to 84% in 2018. The second quarter net loss from continuing operations was $2.5 million, compared to $2.3 million for the same quarter of 2018.  We ended the quarter with $6.7 million in cash. In late April, we've closed a registered direct offering of common stock with gross proceeds of $6.55 million.  This concludes my financial summary. I'll now turn the call over to Jim for the progress update on our business strategy. Jim? 
Jim Miller : Thank you, Wayne. We're pleased to have the opportunity to speak with you all today. Our results for the quarter were less than we expected and we're not at all happy about it. We had expected to close several deals, which would have improved the results significantly, but for varying reasons that did not happen. None of those anticipated deals have gone away, they are still very active, and we are engaged in an all hands on deck effort to close them.  These deals range from a financial services related project with CDW to direct sales in the government space an example of which is a deal we are scheduled to close at King County Washington, who is a long time valued customer, and we will be moving their biometric authentication needs to the cloud on a multiyear subscription fee basis, in a deal valued at approximately $590,000.  We believe we will see more of these deals in the second half of 2019. We are seeing very significant interest on the part of our existing government customers from large cities to entire states to make this move to the cloud for their biometric needs to improve performance, improve security, and in the long run, save money. These city and state situations are each financially material to our company.  Clearly, timing remains an issue for us. Far and away most of that timing risk is inherent in our go to market model. We work largely through and with partners for the sale and distribution of our products, particularly in the private sector. And when they hit a delay or move their schedule for their own internal reasons, we get delayed, and in most cases, we have little or no ability to influence or alter the timeline.  With respect to the world of government, well, I don't think we need to say much about timing where government is involved. A very relevant case in point is our agreement to provide biometric authentication for the electronic visit verification requirements of the 21st Century Cures Act, for which we filed an 8-K in February. The act is federally mandated regulation that requires all states who provide home care and personal services to folks on Medicare to put in place a plan to authenticate caregivers’ home visits to patients using biometrics.  Under this law, all of the 50 United States must put a plan for this biometric authentication in place by year-end or face the penalty of having their Medicare reimbursements cut by the federal government 1% for first year non-compliance and 2% for year two non-compliance, a very large sum in the context of Medicare reimbursement for an entire state and a sum large enough that no state is going to let that happen. This is not an option. It's a federal mandate.  Our partner, who is providing a healthcare product for state compliance with this requirement holds contracts to do so in several states. The first date, where we are jointly collaborating was scheduled to commence rollout in May of this year, which has now slipped to the second half of this quarter. The slip in timing was not related to our product. This is an amazing opportunity for our GoVerifyID mobile product, that is being licensed on a per person per year basis. Additionally, we know from our discussions with our partners that new and larger population states are being planned for our joint collaboration.  So to those of you who have from time to time wondered why sales are not going faster, you have the most significant reason. In fact, in many of the cases, we actually have made the sale and are under contract. And now we must be patient on the timing, as our only two choices are to do so or to disengage, which would be beyond foolish in the face of such an amazing and game changing prospect.  One of our institutional investors said to me recently that he would feel a lot better and be more inclined to add to his position if he can see a revenue path to $10 million. His thesis was that if we could chart the path to $10 million of revenues, he would be willing to bet we could get to $50 million and beyond.  Our answer was simple. We have created that path and it's right in front of you. Because you see we have created that path to revenue, which is why we remain confident and optimistic in our eventual success, while being just as frustrated as you are about timing, which we cannot control. Let's walk down that path we're referring to. In our first quarter this year, we filed 8-Ks to announce two deals via our partners. We did so because we believe these are material events for our company. One was the electronic visit verification healthcare project we just spoke of.  The second which we can now tell you involves the global mobile giant MTN is one in which we and our partner will provide our products initially to 30 million of their customers. I can also tell you that our partner has been advised that our customer will increase the service area to add one new country, which will add several million more users with the ultimate plan of providing all the customers with the same service.  Based on their current expectations, we expect revenues to begin in Q4. The rollout is already begun. But the inclusion of biometrics is not scheduled to begin until Q4.  That partner has advised us of his expectation that he will add our biometric authentication to his product to be deployed in both a major retailer in their part of the world, as well as a border crossing project. Our partner is awaiting a go on implementation on these projects. This will involve several million more identities expected to go live in the fourth quarter and into the first quarter of next year.  With our partners at Fujitsu, as a result of their recent global restructuring, we will restart our effort as partners on their biometrics business service product. Both we and they agree that the initial efforts were not as well targeted and focused and certainly not at all as successful as we jointly thought they would be.  Tomorrow, Fujitsu is scheduled to announce the selection by them of the IWS, IoT DNA product, whereby they can provide biometric authentication to the billions of IoT devices currently in the field that are either not secured at all or secured by pins and passwords, two defective methods we don't need to discuss any further in this forum.  Additionally, together we have targeted a more focused geographic effort with a new marketing and sales approach and leadership that we begin -- that we and they believe will yield results this year.  We are making progress with our partners in the identity management space and several of these have shown serious interest in becoming resellers or OEM users of our product. These partners have hundreds of millions of current users between them. So you can easily see why we're highly motivated to conclude arrangements with these folks. And we expect that to happen with at least one or two of them during this year.  On July 31, we announced our new liveness detection product, Biointellic, which introduces a completely frictionless way to determine the liveness or realness of a person presenting themselves for facial recognition authentication. That's a groundbreaking effort, and we can tell you as experts in the field, the lack of that frictionless product has caused a number of planned deployments to delay through either customer dissatisfaction, or inability to use, as well as the security issues inherent on being able to use for example, a photograph or a mask to trick facial recognition algorithms into thinking it's you when it's not.  We've talked before about the importance of making sure particularly in remote enrollment situations, that you are enrolling from your home or on your cell phone that the enrollee is really no kidding, who he is supposed to be and not some fraudster intent on stealing both your identity and your money.  We're pretty excited about this new product. And so today, I've asked our Chief Technology Officer, David Harding, to join us on today's call and spend a few minutes with you explaining this new IWS product. David.
David Harding : Thank you, Jim. The field of biometric identity authentication and management is starting to grow and pick up speed. As Jim has talked about in the past, matching accuracy and matching speed were first and foremost in the minds of those looking to use biometrics for identity and user authentication.  The missing piece was to be able to confirm the veracity of the biometric namely, was it a presentation attack or spoof. In our industry, this is commonly known as the check for liveness or anti-spoofing.  This is an especially important issue now that face has become the biometric of choice over fingerprints for many users. Until recently, it's been very easy to trick a biometric authentication system using an image of a face or a video. There are videos on the internet and examples as recently as last week at the hacker conference DEFCON, showing just how easy it is to spoof most face authentication solutions in use today.  In fact, today, it was reported that a data breach of the Supremas BioStar 2 security platform expose the face images of more than 1 million identities, facial images that can be easily used to spoof biometric physical access systems, as well as biometrically secured computers and networks.  The ability to easily spoof popular biometrics without having any technical skills has been an impediment to the adoption of biometrics as the preferred way to identity authentication. At ImageWare, I'm pleased to say that we solve this difficult problem with a new product we call Biointellic, Intelligent Anti-Spoofing System. Biointellic is the latest addition to our software as a service identity management platform. It's designed to support multiple biometric types and stop presentation attacks in their tracks.  The first biometric modality we support is face and voice is soon to follow. Until now, confirming the veracity of a facial image versus a presentation attack was not only difficult from a technology perspective, but it also required unnatural interactions from the user. Some of these include forced head movements, blinking, smiling, and in extreme cases, moving a device like a smartphone farther away than closer or using strobing lights.  All of these techniques that friction and lead to an extremely poor user experience. And as is typical, a bad user experience leads to slow adoption, if not abandonment. Biointellic solves this problem by using powerful artificial intelligence networks to catch presentation attacks using a single facial image.  It stops high resolution photographs, videos, even detailed 3D masks from being used to spoof and authentication. And it's as easy as taking a selfie. There's no added friction, just a seamless and simple user experience.  We're excited to tell you that our Biointellic intelligent anti-spoofing system is already well underway to iBeta certification. And iBeta is the industry standard for independent biometrics testing and certification. Also Biointellic been integrated into our GoVerifyID platform, which means it's already included in our GoVerifyID mobile applications, as well as our entire line of GoVerifyID enterprise suite product.  Biointellic is the latest innovation from the ImageWare Systems. In addition to having the most robust, secured due to our anonymous matching, scalable, flexible, and patented authentication platform, we now have the most effective and seamless liveness checking.  I encourage you to visit our website to learn more at iwsinc.com. Thank you, Jim for the opportunity to talk about Biointellic. And I'll hand the call back to you. 
Jim Miller : Thanks, David. You can see pretty easily why we're excited and why this new technology of ours will make a difference and why we're already seeing great interest from large enterprises and those looking to provide the strongest possible authentication, with the least amount of friction for their employees and their customers.  Since we last spoke with you in anticipation of several pending projects going live, we've added several new key hires. We've added and created an active marketing team and effort led by Michael Senger, who has been charged with raising brand awareness, supporting sales efforts managing our websites, social media, public relations, and lead generation efforts. We've also added an experienced veteran of the security software industry Avi Legmann to head our global business development effort.  Finally, before we take some questions, let me say a few words about our largest single enemy, timing. And we've been biometric pioneers since this industry began but the rest of the world especially that part of the world now, considering the move to biometric authentication in mass numbers has only been exposed to these kinds of products very recently. So before we see any revenues, we must provide extended training for these new and different products, then we must change the way customer service works with these new products. And then with customer adoption, we will see meaningful recurring revenue.  And we should all keep in mind that this involves the introduction of new products and new technologies. In some instances, such as the global mobile carrier in unprecedented number of users of that new technology. No one has done these kinds of large rollouts in the private sector. So there's no guidebook or history from which we or they can learn or estimate roll out timing.  As we've said, sometimes our partners expect them quicker than they actually do. In the interest of transparency which we believe in, we share those real time expectations with you with the knowledge. And if they change or get delayed, you'll be unhappy with us. Despite those risks, we continue to think it's the right thing to do. And we think it's a far better course than one taken by some other public companies in the space where they simply don't host any conference calls or take questions at all.  So we will continue to share with you how we see it at any given point in time and be willing, when appropriate, to update you there are changes. We've talked about timing before, but it bears repeating. Everyday devices we use without thinking. The microwave, cell phone, the laptop, iPad, computers, even those awesome big screen TVs did not become huge consumer successes overnight, or at all quickly, although we often forget that, it took time. But we strongly suggest to you that you should consider that the glass is half full, not half empty. Why? Because we're starting to receive meaningful contracts for millions of identities. And that's how success is born in this business.  At the beginning of this year, we had none of these things. As a way to provide some further visibility into the activity of our sales and marketing process on future calls, we'll provide you with the number of projects we have underway in both the early stage mid-stage and then late stage and will continue to update that metric for you and each quarter. These projects will be included because we have a level of confidence that they will be completed. So this pipeline represents a range of 5 million to 15 million new identities during 2019 and over 50 million identities during 2020. Because we have carved out the path and we have agreements in place, which when rolled out will cover 10s of millions of identities, with the further upside of making those 10s of millions and hundreds of millions. That part of the journey has been successful. Now we will continue our efforts to create more revenue opportunities in order to share the spread the timing risk and get the credit in the form of meaningful revenues. Speaking of anticipated revenues, we believe based solely on current projects under contract without the benefit of any new revenue sources, we have sufficient cash to carry us into 2020. And finally, as we said, we would, we will file notice and hold our annual meeting late in the fall. You will be seeing the formal notification of the exact time and place of that meeting. So please be looking for.  And now I'll turn the call over to our operator for some questions.
Operator: Certainly, sir, we will now begin the question and answer session. [Operator Instructions] The first question comes from Elliot Knight of Knight Advisors. Please go ahead.
Elliot Knight: Thank you. Would you mind going back over the announcements, expected tomorrow from Fujitsu about the Internet of Things? You went through it rapidly. It sounds important. And any additional detail would be very welcome, please.
Jim Miller : Okay, thank you for the question. And I didn't, it wasn't intentional to go over it quickly. So not to provide more data, but it will be a…
Elliot Knight: Just a little slow. 
Jim Miller : It will be Fujitsu release Elliot. And so, I'm not going to try to steal any of their thunder. As I said it is scheduled for release tomorrow. We have basically built a product. We've talked about it briefly in the past. It's called IoT DNA. And, essentially what we are doing, is we're putting biometric authentication to be available for high security IoT devices. Now, these are the billions of sensors, far more devices in the field and people on the planet that were sent out into the field and the experts all confirm this with virtually no security. And at best, the security is pins and passwords.  And as I said, we've talked about that at length. They don't work, and plenty of statistics to support that. So what we're doing, is we're providing the ability for these folks to biometrically secure these individual IoT devices. So we can use our biometric authentication platform to not only, house and match the biometric authentication, which would open or deny as appropriate access to these devices.  But we can also hold the identity of the device. But by that I mean each of these devices has a singular address. So we can, house the address on our platform, coupled with the biometrics of those folks authorized to access it. And that way, ensure that for example, a railroad switch in the middle of the desert that is controlled by a sensor isn't just changed randomly by some hacker. So we believe that, it's an important product. There's interest in the market. Fujitsu is interested and has seen some interest enough to put their muscle behind this. And there's a lot of these devices, aviation, oil and gas, mining, transportation, where the devices that have been deployed, have virtually no security. And folks are interested in adding the security.  So, essentially, that's what the product does. Those are the use cases for it. We're excited to get it out there. And, as I say, tomorrow is the scheduled kickoff date for that.
Elliot Knight: And as a follow up on that, what -- it sounds as though this is very early days for this product, before it's going to be revenue producing and we see have high expectations. Is that fair? 
Jim Miller : Well, it's early days, for sure. And I think candidly, we don't know. We've had -- we built the product, because a number of our partners said there was interest in it. Before we've released it, we've actually visited in person with some of the large companies that do IoT devices, manufacture them and deploy them and sell them in the market. And based on that, we were, we came away with a very strong conclusion that in these, what I'll call, high value areas, transportation, oil and gas, mining, particular public safety, is at risk that there was interest in looking at these things on a fairly immediate basis.  As far as we know, there's no product like this out there. But you stated correctly, it's early going and certainly too early for us to, put a projection or an expected projection on it.
Operator: Next question comes from Harvey Kohn of HRK Strategic Advisory. Please go ahead, sir.
Harvey Kohn: Hi, Jim, good afternoon. 
Jim Miller: Hi, Harvey, how are you? 
Harvey Kohn: Thanks for the -- thanks for all the information, it sounds pretty exciting. I'd like to just narrow, I have a number of questions, but narrow it down to the question on the second filing that you did last quarter with the large multimodal telecommunications company. In last quarter's release, you talked about, and I don't know if the name is out to the public, but the -- I want to ask three questions about this. Number one, the implementation, do you still expect that to happen in the second half of this year, which will be anytime now going forward? Part two of the question is, I just split all these questions up. Part two is, you said the expected phase is 30 million people and one of that still on board that they have 30 million customers? And thirdly, is the implementation mandatory there? Customers all existing. 
Jim Miller: Good questions, all of them. Yes, we still anticipate, as I said in my prior remarks today, that the rollout will commence in Q4 for biometrics. The rollout is already started, they've already started to create the digital identities of these folks. And on our part of the implementation, we don't see revenue until actual biometric authentication is commenced.  So therefore, you have to have the identities in place digitally, before you can do biometric authentication. That's just the natural part of the process. And by the way, for all the rest of our listeners, that'll be the process, and every single one of these implementations. There will be no exception to that.  30 million is still the number. The carrier has the plan of making it mandatory. Sometimes these implementations also dovetail with government plans in the area to create the so called Digital citizen concept, which allows people access to government goods, services via digital identity, which would be biometric authentication. So, that's also part of what's being considered here as in the rollout.  It is, -- it's proceeding, we're excited. We've received notification that, we're now going to be talking about adding at least one additional country. That's a big deal. And so this is how this starts and their intention is to cover as much of their service area in the world as possible. So to be part of that it's an enormous opportunity. And as I said, you know it's unprecedented in the sense that there is other than government this is the first of a big private sector rollouts. So it's a significant opportunity for this company.
Operator: The next question comes from Jay Kim [ph] of Alpine Global. Please go ahead.
Unidentified Analyst: Hey guys. 
Jim Miller : Hi Jade.
Unidentified Analyst: I have a just a few questions here. I mean the first is you want to be the first software company, regardless of size to kind of get pushed around a little bit with revenue recognition, especially with government. So I just want to clarify that this is just the deals are still there and it just getting final signoff that just been illicit for you?
Jim Miller : 100% that’s absolutely correct statement. Yeah.
Unidentified Analyst: Now I want to go deeper into a couple of things. And you could cut me off if I take too much time. But, countries like Sweden love to talk about being on the forefront of electronic banking e-payment with things like switch, but in reality, Africa have far more people doing banking on mobile devices just to share number. And if you look at the MTN agreement and the whole, know your customer if the mandate for know your customer related to you have to authenticate the user at some point. Because that cellphone they don't have the luxury of laptops and two factor authentication token like they do in other countries.  So the on boarding of the mobile customer is on boarding to a complete wiped up [ph] banking payment et cetera. So is this just the tip of the iceberg with the MTN deal with more countries and essentially an entire continent? 
Jim Miller : Yes we believe it is. Africa by the way, was a country that we consciously thought about when we actually built these products made the move to mobile and cloud-based authentication a couple years ago, simply because, as you point out there is big spaces. There's lots of people, there is a lack of brick-and-mortar. And so virtually all of the transactions are in some form or fashion conducted using a smart mobile device because there is no other choice.  And of course the carriers are cognizant of that, of the fraud that is potentially there of government mandates for the so-called what we refer to as the digital citizen initiatives, where whole governments in entire countries are just simply saying that we're going to make a digital record of our citizen. And then once it's made, how to authenticate that you match that record and the easy choice is biometrics. So those are all part of the rationales that come together for a decision by carriers such as this to go ahead and begin this process.  And yeah, it's incredibly exciting this is an enormous milestone thing for this company to be selected to be part of the implementation on something that is scheduled to go way beyond the initial country picked to deploy. So yeah, it's big opportunity, big deal and as I said before the power of a reference which is something that in this particular piece, we have been lacking to be able to say that your part of that implementation is absolutely huge for us. But the question it won't surprise anybody we get asked, were you done this before? And the difference between well, it's brand-new. We don’t really have any and yeah, we're working with the deal with 30 million people. You can compare the two statements. So yeah, it’s a very, very, very big meaningful opportunity. 
Operator: The next question comes from Stan Caplan, a private investor. Please go ahead. 
Unidentified Analyst: Hi, Jim. First, I do appreciate your continuing to do the quarterly call. Particularly in light of the last several quarters. And I'm just going to quote your statement today, 'Although, results for the quarter are less than we expected, we remain optimistic on key deals and partnership opportunities.' And so as a shareholder, we have been hearing this for the last several quarters, and even some prediction that, cash flow breakeven was just around the corner.  So I guess what I would appreciate you trying to clarify, if we would have gotten, one deal even earlier that would have helped with our, our revenue. But it seems like every deal we're working on is been delayed and suffered what you referred to as slip in timing. So how do we really know, how much time these deals are going to take?  Maybe it's going to take another 2-3-4-5-6 quarters, in which the company may have to raise additional financing and dilute shareholders and see lower stock prices. So I am optimistic about the future. But I would like the future to be, now and not later. So please tell us what's causing the slip in timing across the board? 
Jim Miller : Well, I think we'd all say amen to your comment about the future being now and not later. And we'd say very loudly here, and we might add some words before and after it. It is a critical problem. And that's why we go to pains to point it out. It is -- and I honestly, and I don't know how to solve it. As the prior questioner said, you know, we're not the first company in the history of software to be moved around by partners and timing.  We supply a piece to a larger puzzle. And as we have seen in virtually all of the projects, or private sector businesses that they end up even when you have a sale, and that's why I made the comments as specifically as I did. It's not that we haven't made the sale on some of these cases, we have signed agreements. But once you have a signed agreement, and the person that is going to deploy your products, takes their time for whatever the reason to deploy it.  We don't really have an answer for that. Because, we can't force them to do something other than the timeframes they have them on. And as there are two choices, realistically, our two choices are to say it we're done waiting around, we're going to go on to something else. Or, as I said, be patient and work through the process with them.  Believe me, we've tried all kinds of things, incentives and different terms in order to incent quicker rollout. But I think what you're seeing, and again, why I commented specifically on it, is you're introducing new products into new areas. And it's just that the inherent and being new. No one's done it before.  No roadmap, no guidebook, no history. And there are a number of things where, for example, I mean, just in our recent experiences with partners, getting the customer service desk up and running took longer than they thought. We get it, we understand it. We're frustrated by this delay, believe me.  But then, the question you really have is, why does it Why can't we make it go faster, and I just don't, we just don't know any way to do that except to get more and more of these opportunities, get the products deployed in multiple places. And then, not be so reliant on the first or second one of these large ones, have a dozen of them and they all run out over different timeframes. Maybe, but you've, you've sort of effectively spread the risk of that.  But I think it's just inherent in what we're doing. We're introducing a consumer product and, the rollout and when on top of that, we're dependent upon a partner to do it. And if the partner goes slow, I, again, I welcome suggestions, believe me. We've all as a management team try to figure a way to make this go quicker than it had. 
Unidentified Analyst: We had, yeah, if we had unlimited resources. I mean, then could you do any more, throw teams at them, give them better support? I mean, is there -- is it a question of money and resources?
Jim Miller : Now, in terms of the pace of rollout, and making someone go quicker, no. In terms of this idea that more resources, sales and marketing, for example, would allow you to have more opportunity out there. So, multiple more projects underway and deployment at any one time. Yeah, that's a cause and effect for sure. You had more people on the street, you generate more opportunities, and therefore, wouldn't be so dependent on the rollout schedules of these first large ones.  But in terms of would more money or resources make these two projects we're talking about on our cycle quicker, no. No, they wouldn't. As I said, we're virtually done. We've delivered product, we are now waiting for the people we delivered to, to put it in the field. And that's what triggers revenue. And that's what you and we, all of us have been waiting for. If we could find a way to speed it up, believe me, we would.
Operator: The next question comes from Paul Denby of Denby Enterprise Incorporated. Please go ahead. 
Paul Denby: Hey, Jim, how you all doing? 
Jim Miller: Fine. How are you? 
Paul Denby: Good. In a big perspective but right now, the company because of the contracts we have with the operation of Africa, and also the operation we have with the EVV, the company of ImageWare is in the best shape it's probably ever been. It's pretty exciting. It's true revenue. And as you and I have spoken about, basically revenue start coming in, in 2020.  So and this will be serious revenue. But I was just curious, I've got a couple questions, one for David Harding also, but do you have any other large revenue or any other revenue from any other wells that may be coming in 2019, some other deals that may extend our cash position and keep this -- keep this train rolling? 
Jim Miller: Yeah, I mean the short answer is yes. And I, you won't be surprised that I'm not able to will comment on the specifics of that, because there are discussions that are very much in progress. But yes, we do it. That's another reason for our optimism and our confidence in going forward. I mean, these aren't the only couple of deals we have so yeah. 
Paul Denby: Yeah. I mean, obviously, the obvious question is everybody looks at the cash flow with the cash, the cash position, and so on. So that's the question is on everybody's mind on this call, I'm sure. So that's why I was asking if he had not given specifics, but do you actually have some other customers and other deals that you're working on, where you think you'll go end up getting some revenue in that short period of time?
Jim Miller: Yes. Yes, sir. Absolutely, yes.
Paul Denby: Perfect. And then, if I could ask David Harding a question. I'm not sure if he's still here, but 
David Harding : I am, Paul.
Paul Denby: How are you? Terrific. It sounds like that you and your team have written one of the -- what I understand the best in class of this facial recognition, this Biointellic. I guess that's the name you've assigned to it. Do you foresee customers out there that we're not even looking at or talking to that are already using facial recognition? I know my broker uses it, and my bank using it now and so on. And quite frankly, it doesn't work what the damn most of the time. They don't recognize my face, or whatever.  So do you -- are people calling you now and going or calling the company at this point? Is this product that good, where people will like either upgrade or change their existing facial recognition product? 
David Harding: Well, that's a great question, Paul. The fact of the matter is the product has just been released. It's also been extended to include other biometric modalities like voice. We're going through the process of protecting it, of course, as we typically do with intellectual property. Do I believe it's a game changer? I believe -- yes, I do. And I'll tell you and as I said, I think the key here is, is that the initial discussions of biometric matching really were around the accuracy of the match.  Now, I'm not going to test to which biometric matching you're having difficulty with? Face is a very popular one, it's become more popular because it doesn't require for example, touching a sensor like fingerprint. And it's also very easy. People are used to taking pictures with their face. We use NIST certified algorithms which are exceptionally accurate. That's never been the problem for us, or for a number of biometric providers who actually, know what they're doing.  The reality is, is that spoofing is very easy. And it always has been. So the fact that we have built this product that it is very sophisticated and very good. I'm biased, but I've used all the different anti-spoofing technologies out there. We've evaluated we even incorporated some for a period of time. And they were just lousy.  They didn't - they provided a bad user experience. If someone doesn't have a good user experience with a piece of technology, they throw it over their shoulder and move on. They don't bother with it. That has been an impediment to a lot of adoption, is bad user experience. What you just described from a matching perspective is bad user experience. And obviously, based on what you said you're not very happy with it and rightfully so.  We believe that we have a friction free solution that is the best in breed and best on the market. We are now going to market with it; we already incorporated it into all of our products. So customers that are actually utilizing our products today, were able to get it immediately without any delay.  So we feel that this is a game changer, it gives us a highly competitive advantage. And it will continue to do so as we add even more biometrics and anti-spoofing technology to it. And it does get better over time as well, because it is based on AI and it is based on - it does have the ability to enrich over periods of time and get better.  So you're going to see not just face but you're going to see voice and different modalities come online into the Biointellic system. And again, that gives us a highly competitive advantage. Does that answer your question, Paul? Still there Paul?
Operator: The next question comes from Jerry Novak of [Jenco Business Advisors] [ph]. Please go ahead.
Unidentified Analyst: Thank you. What is the investor relations efforts that are going on to generate interest in the company and the company's stock? And company claims, it has patents and other biometric items that are one of a kind. Where are the magazine articles, where are the interviews, where's the TV interviews so that investor interest can be generated, so that should the company need to raise money vis-a-vis never ending delays in execution it can raise money with a far less dilution.
Jim Miller : Well, Jerry, we in fact, do have those patents you refer to and they're pretty easily verified. They're in open forum on the patent and trademark office site. And they are exactly as we stated that they are. We have an active investor relations effort. It's headed up by the Bibicoff firm. They not only, they not only answer shareholder questions but they circulate information on the company to new and prospective shareholders to generate interest in that.  Now, as I said in my comments, we have hired and really have for the first time have a real marketing efforts underway here headed by a very skilled professional and with the team of folks to do exactly what you're suggesting. We agree that's what we need to do. We have been a secret in this space. And yet, we have amazing technology and products that are ready to go. So to address that concern, which by the way, again, we share it with you. That's what we've done.  So their charter, as I just said in my remarks, is to increase the profile of the company, get some public relations as opposed to just Investor Relations, some real PR, which I think is really what you're talking about. And you will see the results of those efforts I think shortly. I mean, we're making, they've just got the team really in place in the last literally few weeks. And, given just a bit of a chance here, I think you'll see some - a whole lot raise in the profile of this company.  But we agree with you. We need - that’s something we hadn't done before. We need to do it now. And we're doing now. 
Unidentified Analyst: So we'll see some measurable either interviews or magazine articles or publicity by the time we have the next call in 90 days? 
Jim Miller : I think so and I will tell you I think if you and I’d be very happy to send them your way. We've had some already. We've had some great interviews. Personally, I've done a couple but we've had some terrific interviews with Dave Harding. And if you haven't seen them again we'd be very happy to send them to you.  And there were [indiscernible] read because they explain what we're doing, how we are doing it, why you should care. And we've gotten great reactions from putting those things out there. And as I said one of the things and I think I said it a number of times on this call that we really lacked in the past year is a highly professional skilled marketing effort. We have that now and I think you're going to see some great results from it.
Operator: The next question comes from Jeffrey Link of Invemed. Please go ahead, Sir.
Jeffrey Link: Hi, Jim. 
Jim Miller : Hi Jeff.
Jeffrey Link: Question just on the, I suppose the deal structures going forward, where I understand, there is going to be an emphasis on trying to get some upfront payments, as well as the obvious recurring revenue. I was just wondering since you talked about some of these agreements having been signed, but not implemented.  With the deals we are trying to get an upfront payment, is it something where once the deal is signed, you'll get the payment or is it the same thing where you can sign an agreement and then you're still going to wait until that begin to implement that that point begin to get the upfront payments?
Jim Miller : So in the agreements that we have under contract today, those are traditional Software-as-a-Service agreement. So what that means is, you pay for things that you use. So until you use them you don't pay for them. That’s the SaaS model, it's not specific to ImageWare, that's the way it works across the board.  What we have done in certain cases, where we have the ability to do it is in negotiations that are like, for example, couples that are currently underway. We have restructured agreements to allow for some or all upfront payment. We have that ability to do that. And of course, we're doing that very specifically to address the cash flow requirement. And we've got the ability to do both. So were doing it. In terms of the SaaS agreement, you don't see many of those that have big upfront payment. As I said that's just inherent them all. But where we can and going forward, you will see deals where we can get upfront payments and we will.
Jeffrey Link: And just again to clarify. So in the example where you sign the agreement and they choose not to implement right away in the situation where you are restructuring the deal so it's mostly an upfront payment. Does it still wait for their implementation before the payment will kick in once the deal is signed. 
Jim Miller : That’s the difference Jeff, upfront means upfront. You sign net 30, you pay. It's not a deal where you wait for implementation. In the two examples we use today EVV and mobile carrier. Those were true SaaS model which you pay for use. And as I said, what you have in there is the delay by the way, is entirely reasonable. I know none of us like it, least of all management here.  But as I was attempting to explain, you have to set up customer service, you have to set up training, you have to set up support. And you have to have all those things working because you're introducing the millions of people a consumer product. And they are going to have question, they are going to call a support deck and they are going to have to be walked through. Any issue or problem they perceive they have with product.  So all that takes time. And as I said you we know, we run the risk. When we share with you what our partners tell us if there's a fair argument they say we shouldn’t do it, but we do. And we run the risk that we have to report to you delays. And we run the risk that reflects back on us and you are unhappy about it. And we are unhappy about it too. But again, I think, net, net, we've all decided as team here that we're going to tell you what we know when we know it and run the risk that we might be wrong about it.  And our partners tell us that I think Stan Kaplan asked an earlier question, of our partners tell us were going to close a deal at this time and place and it will generate cash enough to make a cash flow positive. We have shared that with you. If that doesn't happen, that statement then ends up being, something we have to update and change.  So again, we've always thought on balance, it's best to just put the cards out and let you see what we see and run that risk. I can point to other examples, it doesn't matter, because there are other companies, but where they just don't, they don't do that at all. And for that reason, they that way, they never have to explain, why the information ended up having, you know, to be delayed or implementation was solved for whatever reasons.  As I said one of the things that we can do to change that is to restructure or structure new contracts with a provision for upfront funding. So we see the revenue and the cash immediately. And there are ways to do that. We're underway with that. So, that's one of our responses to the try to combat the problem.
Operator: Next question comes from Tom Knight [ph], a private investor. Please go ahead.
Unidentified Analyst: Hi, Jim, I wanted to go back to MTN in Africa. Because I've done some reading about what's going on in that market space with MTN. And I've seen some comments from them, that they're very much pursuing basic phone users, rather than perhaps true smartphone users for identity authentication and in transactional used cases. I just wanted to confirm that ImageWare sees the license revenue, even for someone that would be implemented for just basic phone service rather than a true smartphone. So is that included in the $30 million or 30 million users' member? 
Jim Miller : No, if I, if I understand your question, Tom, you're referring to what we would call the flip phone population, by the way of a very declining population. Smartphones are by far, far more prevalent. And depending on the market areas you look at, I mean, when I say far more prevalent, I mean, 90% to 95% market penetration versus the flip phone population that is largely dwindling and going away. And of course, the problem with a flip phone is it doesn't accommodate biometrics. It accommodates a pin or a password, which is the technology available to it when it was built.  So this is Software-as-a-Service. So you are looking at devices where biometric authentication is allowed and those devices you get paid on. If you're not doing biometric authentication, you don't get paid, because our software isn't resident on your device. 
Unidentified Analyst: So you're suggesting that the 30 million users of MTN in the country that you're referencing, are all smartphone users then? 
Jim Miller : No, no, no, I'm not suggesting that at all, because that's not the case. I don't know the exact percentage. I know there is a flip phone population. I know it is a vast minority. And as I said, there's no place for our technology, the biometric authentication piece to reside there. So there's no way we could claim, the ability to charge for that.  And by the way, that minority of flip phone users is in every country in the world. There are still folks who hang on to them and use them, and probably always will. And those, while, we could do two factor authentication for those folks, that's not what we're being asked to do in this particular case. 
Unidentified Analyst: Okay. Well, there have there have been some articles just in the last few days a reference, they're going after the basic phone user market space in Africa. So I think that's worth checking up. Follow up question that I have for you with reference to service now. That was one of the major opportunities that you mentioned previously, is that still an active opportunity for ImageWare? 
Jim Miller : Yes, it still is. That was a deal that was brought to us by our partners, Fujitsu. And as I said there's been quite a bit of restructuring in the Fujitsu International Group. And so we're, we're, we're going to go back at it again and see what we can generate there. Because the use case which was help desk authentication is too powerful and too obvious to ignore. And so we're hopeful that with this new redoubled effort, with our partners at Fujitsu we can make something happen there. But yes, it's still we have been thinking contact with obviously Fujitsu and also directly the service now on. 
Operator: The next question comes from Jay Kim of Alpine Global. Please go ahead. 
Unidentified Analyst: Thanks so much for a second shot at the target here. All, in the due diligence that we performed, I mean, one of the things that that stood out wasn't so much the financial model or the projections. But it was the patent portfolio. And the one specifically on dealt with PII, Personally Identifying Information. And I bring this up, because of what happened with BioStar 2 today. I know Dave, references, but I mean, basically millions of users got hacked, their personal information was revealed along with their biometric information. And, you can't reset a face, right, you can reset a password but you can't reset a face, you can't reset a fingerprint.  And so, the patent, I'm thinking about was that years ago, patented the process of dis-aggregating biometric data on with an actual user. And so even if somebody's got access to the biometric database, it's just ones and zeros anyway. So, if BioStar 2 is a, what the heck moment in the biometric industry. And you have a patented process of associating PII from biometric. I mean, isn't this, I mean, I hope it would come to this. But it just feels like the puck just got passed over to you got?
Jim Miller : Well, we think it's, we think it's if we, yes, right on. We absolutely agree. And we think it's an amazing opportunity. By the way, we have three patents on anonymous matching. And I'm going to ask, I have one of the world's great experts in biometrics, but I work with every day. Dave, you got any comment on that? 
David Harding : Now Jay, you're spot on, I have to really kind of drill down on BioStar 2. It's really a tale on what never to do at multiple levels. I mean, they didn't desegregate the information. They also stored raw images with of the biometric data. And they did it all unencrypted and expose the database to the internet. I mean, they might it was, as I've said this morning, reading the articles, and there were numerous from Forbes and several others.  I had to shake my head. The fact of the matter is they're probably not an isolated event. In fact, we've already seen similar breaches in the U.S. government. We saw the Office of Personnel Management did the exact same thing years ago, that you have a lot of people who all their background check information for getting security clearances, and their raw images of their fingerprints were put into the wild. That was a long time ago, millions of users be even more than the BioStar one.  So, it is a cautionary tale. We saw that very early on, as Jim pointed out, we have filed for and we're awarded three patents around what we call anonymous biometric verification authentication, or verification, identification and enrolment. We're very, very proud of those patents, obviously. And we think it is a game changer. And we also think it's an opportunity to really go out there and just shout the message from the rooftops that we have the most secure biometric identity management platform in the world and we have the patents to prove it. 
Unidentified Analyst: Yes, and this goes along with the Biointellic. Because I mean, the flaws with Apple on facial rec, I mean, that goes back to 2017 of people using masks. And I mean, you couple that with what just happened with BioStar. It just, it feels like the strength of the patent portfolio is kind of, illuminated here. And if you just love to fall what will be afterwards maybe to see how you can, I want us to capitalize, but just let the world know what you have.
David Harding : Also capitalized, that's a good word. 
Jim Miller : Yes. We agree. I'm going leave something. 
David Harding : Yes, absolutely. Now, if you look at the entire patent portfolio, you look at really what I consider be the crown gems of the patent portfolio. We've had for a number of years that is really around the scalable platform that supports multiple modalities. You add Biointellic on top of it, and it just closes the circle. It brings together the true anti-spoofing, which solves the problem of being able to do presentation attacks. You bring the NIST certified, biometric matching in place. And you do it in a way that's not only highly scalable, but it's also multi-tenant in the SaaS model. So customers can get started using it immediately, through products like our enterprise suite, where they can attach to their active directory network in minutes or Linux through things like Pam or with ForgeRock, or any of these products in the enterprise suite that we have built around that patent portfolio, as well as the capabilities that that platform provides that no one else does. So we really do feel we're in a very unique and powerful position, as Jim has pointed out, over and over and over on this call. We're ready to go. In fact, we have these contracts and agreements signed. It's not an issue of the product. It's an issue of their rollout. So to stress again, we're poised. We're ready to go. We're in the starting gate. Someone else has got their hand on the firing trigger, but that's okay. We know it's coming. So we are optimistic. We do believe it.
Unidentified Analyst: Great. And just do you feel that the strength of the patent portfolio, if what happened to BioStar kind of forces the other competitors to retool and come back at the market differently that, you have a strong enough defense, you want to disaggregate PII from biometric either buy from us or pay at all?
Jim Miller : Yes, that's pretty much. Yes. We agree that. 
David Harding : Yes.
Operator: We have no more questions. I would now like to turn the conference back over to Mr. Jim Miller for any closing remarks.
Jim Miller: Thanks. We believe that one of the important messages that you should take away from this call and the biometric industry news that you see virtually every day is that the market for biometric is alive, it's well and finally, it's now here. In the past, businesses were curious about biometrics, but there was no real active market. We see the difference now in the way that new potential customers are approaching it. We see it in the need for us to hire sales and marketing professionals to create and follow up interest.  We see it in the negotiations we are having with companies and we have been having discussions with for some time, and companies who are coming to us for the first time. One of the drivers is that you are seen companies such as Equifax [ph] and today BioStar 2 to go now for the first time receiving significant fines and penalties as a result of their failure to properly secure data, which results in a security breach.  Equifax was recently assessed to find for $700 million, which sets up a very compelling value proposition for products such as ImageWare. Where you can pay us per person, per month or per year of relatively minor amount in comparison, or face the prospect of paying the government in fines or civil litigants in court cases and damages. These fines will grow as it becomes apparent the theft of personal data ranging from social security to your mother's maiden names, your work and education histories, threatens to destroy the basis of how we've secured that data historically. That data is now in the hands of the bad guys. It's been compromised, which is -- when it's used how do we know, if you or someone pretending to be you. And there's only one way really by biometric authentication. Because of the length of time that many of you have been investors in IWS. Because of the many head fakes in the market pressure to see deals closed and product rolled out is intense. All of us at ImageWare feel exactly the same way as you. But let me say this in closing and with no hesitation. There is no longer a maybe to the question of our success, the path has been created, and that maybe is gone. As always, we appreciate your support, as well as you're taking your time for today's call, and we look forward to speaking with you on our next call. Thanks to all of you. Have a good afternoon and evening.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.